Frank G. Calabria: Good morning, everyone, and welcome to the Origin Energy results presentation for the 2025 financial year. It's Frank Calabria here, and I'm joined by my executive leadership team, and we have a brief presentation followed by questions and answers. And you'll also note that we have provided additional information in the appendices for your review. Slide 2 provides a summary of the financial performance and business highlights for the year and I think underscores the strength of our portfolio. Energy Markets EBITDA of $1.404 billion is ahead of guidance. APLNG production of 682 petajoules at a cost of $4.20 a gigajoule is in line with guidance. LNG trading is at the top end of guidance with trading gains of $441 million, and Octopus EBITDA is at a loss of $88 million within -- it's within guidance and reflects the investment in its rapid global growth, but also some unseasonably warm weather and one-off adjustments. There are several business highlights for the year. Our customer accounts grew by 104,000; cost to serve reduced by $50 million. We had strong generation performance, and I'll talk to that later. Battery developments are on track; and Yanco Delta wind farm has secured access rights. We received $797 million of dividends from APLNG during the year and then a further $335 million on the 3rd of July 2025, and those are all fully franked. Our 2P reserves are up by 298 petajoules before production. The Sinopec price review is concluded with the final review in 2030 at APLNG's discretion, and Octopus continued its rapid growth. The U.K. energy customers grew by 13% to 7.6 million. Customers in the non-U.K. energy markets have doubled to 2.7 million. And Kraken Technologies contracted customers have grown by 45% to 74 million. Very pleased to say that we've determined a final fully franked dividend of $0.30 per share, supported by a strong balance sheet and cash flow outlook. Turning to financial highlights. The statutory profit and underlying profit are both up. Our underlying profit of $1.49 billion is up from $1.18 billion last year. Our underlying EBITDA of $3.41 billion is lower. Our net debt-to-EBITDA is at 1.9x, I think highlighting that balance sheet strength. Our rolling 24-month return on capital deployed is 14.6%. And with that final dividend, we have total dividends for the financial year of $0.60 fully franked. Our purpose remains very important to us on Slide 4, getting energy right for our customers, communities and planet. Some of the highlights are for our customers, a customer happiness index of 69.4%. We spent $38 million supporting customers in hardship in the last year. We increased the breadth of our products. Those include now increasingly connected solutions, and we have been rapidly adopting AI with our customer interactions. For communities, it includes spending over $400 million with regional suppliers and $20 million with First Nation suppliers. We've contributed over $4 million through our foundation, and we also contribute to many local communities, and one example is here is the Murrumbidgee Council for the Yanco Delta wind project. And for the planet, this year, we have released our updated climate transition action plan and have reaffirmed its targets and ambitions. We've increased our ash reuse at Eraring to 61%, which is pleasing to see. And we've also advanced our wind and battery storage developments, and there's more in the operational section. Turning to Slide 5. Origin is leading through differentiated assets and capabilities that we continue to strengthen. For customers, this includes a trusted brand, world-class platforms and a continuous innovation through tech and data. For energy supply, it includes the largest thermal peaking fleet, a diverse supply portfolio and advanced pipeline of developments in renewables and storage. For Energy Resource, we have APLNG, which is a world-class LNG asset. And equally importantly, it's backed by very strong reserves and an operating capability to deliver the results that are inherent in that asset and resource. With Octopus, we have a leading customer experience brand and low-cost retailer. And for Kraken, we have a best-in-class enterprise software platform. On Slide 6, we have our investment proposition for Origin. It constitutes a leading Australian businesses with strong cash flows, fully franked dividends and also investing in the transition. Plus, we have significant growth potential through 2 globally significant businesses. Those leading Australian businesses are energy markets integrated gas. With energy markets, we have a leading brand, advanced tech platforms in place, opportunities for growth that extend across customers, products, renewables and storage. And with integrated gas and APLNG, we have a low cost of supply and reserves that greater than 50% of which at least are beyond the current export contracts. And currently, based on our share price on the 11th of August, we're paying a dividend yield of 5.1%, and that's before the franking benefit. The global growth I talked about, those significant businesses are Octopus and Kraken. In Octopus, we have the largest U.K. energy retailer that continues to grow, and it also grows in the non-U.K. markets and Energy Services. And Kraken, as I said before, a rapidly growing technology platform business, a significant addressable market and line of sight to an annual recurring revenue of GBP 500 million by 2027. On that note, I'll hand over to Tony for the financial results, and we'll come back and cover off the business performance in a moment.
Anthony Lucas: Thank you, Frank. Tony Lucas here, CFO of Origin. Good morning, everyone, and thanks for joining. It's a pleasure to share such a strong result. It demonstrates both operational discipline, portfolio strength and long-term value for shareholders. So just turning to Energy Markets, EBITDA. Energy Markets first. It was a strong second half performance from energy markets with -- particularly within the electricity portfolio, benefiting from higher-than-normal trading gains and increased volatility, delivering an EBITDA result above the top end of guidance. The retail business grew by 100,000 customer accounts across electricity, gas and the Internet; reduced bad and doubtful debts and a $50 million overall reduction in cost to serve well on our way to meet our target of 100 to 150 by fin year '26 compared to fin year '24. As expected, EBITDA contribution was lower this year with lower customer tariffs following the lag cost recovery of higher energy prices in last year's tariff. And also in fin year '24, we benefited from the coal price cap, which did not repeat in '25. So a strong underlying performance from Energy Markets highlighting the portfolio is well placed into the energy transition. Octopus EBITDA was lower in fin year '25 relative to '24. However, U.K. retail saw a strong organic growth of 13% customer growth, adding a further 1.6 million customer accounts. Octopus experienced unseasonably warm weather in the second half, impacting retail margin by AUD 60 million Origin share as well as some one-off accounting treatment changes and a settlement of the government energy price guarantee from prior periods. That guarantee was set up to help customers through the energy crisis. Non-U.K. retail continued to grow, doubling customer accounts to 2.7 million as it continues to invest and scale looking to replicate the success in the U.K. Energy Services increased investment to establish a major foothold in consumer demand for behind-the-meter technology and into the drive for electrification in the U.K., including the heat pump market, which continues to be subsidized by the U.K. government. Kraken continues to expand globally with contracted accounts reaching 6 -- 74 million, with 45 million of these live. Integrated Gas, APLNG's EBITDA was down 3%, reflecting lower production, lower realized LNG prices, also including the impact of the Sinopec price review, which concluded in the period. LNG trading delivered at the top end of guidance at $441 million from trading gains relating to opportunistic hedging undertaken in 2022 during the energy crisis. APLNG continues to be a significant contributor to the East Coast gas market. And as Frank highlighted, has strong reserves well in excess of its export contracts. Moving through to cash. Fin year '25 saw a major investment in growth CapEx. Energy Markets cash conversion exceeded 100% once we adjust for the Queensland bill relief. APLNG cash flow was strong with $797 million in the year and a further $335 million on the 3rd of July, and that was all 100% franked. Cash tax was slightly higher than last year, but it was lower than what I indicated to you in February as we're able to vary tax installments throughout the year. CapEx was slightly below expectations, but this is mainly due to timing of payments around year-end with material investments in battery storage as part of your energy transition. So moving on to the balance sheet. Net debt moved up to $4.6 billion as anticipated on the back of those investments into the battery projects. Earnings from these will start to come on in the second half of fin year '26 and further earning contributions expected from fin year '27. We expect adjusted net debt to EBITDA to be in our target range over the fin year '26-'27 period. Our balance sheet is well placed to deliver strong dividends and invest into growth. Capital allocation. The Board has determined a dividend of $0.30 per share fully franked. That results in a dividend yield over 5%. The fin year '25 declared dividend result is an 86% payout ratio. Dividends paid were up 21% relative to the prior period. This, combined with our investment into the energy transition, reflects our disciplined approach to capital management. I hope you can see that we remain focused on both driving efficiency, capturing opportunities in evolving landscape, but ultimately delivering sustainable returns. And I'll hand back to Frank to dive into the underlying business drivers.
Frank G. Calabria: Thanks very much, Tony. We now turn to business performance, and I'm now on Slide 13. Energy Markets is tracking in line with medium-term targets that many of you will be aware of. Electricity earned just above that medium-term target in financial year '25. So that target is $25 to $40 a megawatt hour. You'll see that gas is in line with the $3 to $4 a gigajoule target for the year. And we have achieved cost to serve savings at $50 million in the year and are on track to meet our target of $100 million to $150 million savings in FY '26 compared to FY '24. Turning to customer on the next slide. We're growing share and value with a relentless focus on customer. We -- as I said earlier, we grew our customer base by 104,000, continuing the growth trend over the last 4 years. We've been very pleased with the investments we have made in channels that's enabling us to acquire customers at a low cost. We've repositioned the brand to all kinds of useful and have the highest brand consideration and preference in the industry. And we're building scale in our Internet offering. Our customer experience has improved. Our churn of 13.4% is over 6% lower than market. And importantly, we are attracting and retaining our key customer segments. Our digital interactions with customers continue to rise. Our customer happiness index improved, and you can see that through the trend of the last 6 months of this financial year; and product bundling is delivering benefits. Our investment in leading tech and product continues to advance, and you can see there the utilization of AI for emails and messages, and we also have a pilot for AI voice agent that's live with 25,000 customers. The investment in tech and product is all about improving the user experience and faster speed to market across many dimensions, all leading to better outcomes for customers. Our virtual power plant grew to 1.5 gigawatts and importantly, is delivering value. So as you can see from this slide, we are starting to reap the benefits of Kraken investment and our investments more broadly across a range of capabilities and technologies. Turning to Slide 15. I did talk about the strong generation performance. And on the left-hand side, what we really mean by that is being there when it counts, and that enabled high coverage through volatility events, and you'll see most notably what happened in June 2025, where many of you will be watching what happened. And very pleasingly, we're available at all of those important times and have done that throughout the year. Our gas peaking and hydro start reliability is very high, and we've achieved good availability for Eraring through the year. Our investments in renewables and storage, the batteries are on track, and we're confirming our target post-tax returns of 8% to 11% post-tax, and continue to see at the upper end of that range at the front end of the asset life. The Yanco Delta wind farm, it is progressing. We've been granted full access rights, and we've resubmitted environmental approvals as part of that development. Turning to APLNG. The revenue was steady. The composition has moved underneath in terms of a higher proportion of LNG, which has been offset by lower LNG prices. And you will see there that we have received the full year benefit of QCLNG purchase volumes for a contract we entered into in 2018. Our costs are steady, although the nature of the activity change throughout the year with higher workovers and optimization, offsetting less cyclical upstream maintenance activity. And you will see on the cash distributions on the side -- on the right, that they are similar to the prior year when you take into account the franking benefit. That's despite the realized oil price being lower at USD 83 a barrel before hedging. And we highlight here that 41% of our '26 financial year oil exposure is hedged at a net USD 73 a barrel. And APLNG is now paying fully franked dividends, and that's expected to continue. The next slide, 17, highlights APLNG's reserves and production. And you can see on the left-hand side that the 2P reserves have uplifted by 3% before production that's really come out of the Spring Gully and the updated reserves. And we have greater than 50% of reserves and resources beyond the export contracts as highlighted by that yellow portion of the bar on the left-hand chart. We continued our strong trend of reserves replacement. That's 57% in 2025 and an average of 72% since 2017. And we have the opportunity to increase future reserves with exploration activity underway. On the right-hand side, this really, I think, reaffirms the material that you would have received in the quarterly, but for completeness, you can see in terms of both production and wells drilled in the East for Talinga Orana, it's all focused on optimization activity to manage natural field decline. And for Condabri, it's focused on live workovers and solids mitigation. Remembering that in the East, we're no longer facilities constrained in Talinga Orana, particularly. In the West, it's very strong field performance where we are constrained by processing facilities. And in nonoperated fields, they have been impacted by a decline in some fields, unplanned outages and development delays. Turning to the next slide to Slide 19, just really continuing the strategy that we've been executing on in APLNG. The near-term focus is very much about ramping up field optimization activity, focusing on debottlenecking infrastructure projects that reduced downhole pressure and can accelerate production and also resuming exploration and appraisal. And in the midterm, it's an opportunity. There are opportunities for us to invest in infrastructure and drilling, particularly in the West to accelerate low-cost gas. We did highlight in the quarterly that, that is subject to APLNG Board approval, but there are opportunities to bring low-cost gas into the portfolio, subject to that decision. We are focused on drilling new fields in the East and also growing reserves through exploration and appraisal. Turning now to Octopus and Kraken. The Octopus Group, the Energy group there and Kraken continue to build 2 growing platforms aligned to Origin. And Origin is supportive of the legal separation of these businesses with an appropriate capital structure for growth and regulatory requirements. Octopus Energy is demonstrated to be a leading energy retailer with significant growth potential. It has tremendous capabilities across brand, customer experience, low cost and innovation. And Origin gets the benefit of that customer growth, the increasing customer lifetime value and really the ability for us and them to share and learn from each other across retail and wholesale energy management. Kraken Technologies is the leading platform, the best-in-class enterprise platform and energy and utilities. It's got a proven track record of transforming and modernizing companies across the world. There's an enormous addressable market and its growth is significant in both new geographies and products, and it's achieving well in excess of the global SaaS Rule of 40. Obviously, Origin gets the benefit of being a foundation customer of Kraken, but also the insight into the ongoing technology innovation, including AI. A little further detail on the next slide in relation to Octopus Energy. #1 energy retailer in the U.K., more than 24% market share. The average EBITDA over the last 4 years is GBP 40 per customer, whilst doubling customers. Its cost to acquire is low these days at GBP 60 a customer. And it's attracting greater than 35% -- or greater than 40% of switches and low churn. In the non-U.K. markets, you can just see how rapidly it has grown over the last 12 months, doubling those meters on supply. And they really are focused on replicating that U.K. success with the same capabilities. Energy Services is all about increasing customer lifetime value through integrating those low-carbon technologies with its existing large customer base and the long-term value through the combination of services, supply and flexibility. They very much are focused on business improvement towards profitability, which goes to margins, efficiency and labor utilization. Kraken Technologies on Slide 21 is uniquely placed for growth, clear competitive advantage. You can see their success rate. It's a global enterprise software platform, AI-enabled, and it's now got 45 migrations in 17 countries. It's serving the full utility value chain, and the product has expanded into water and broadband. That large addressable market, I've spoken to you, you can see is enormous at 2.1 billion households globally, and they've signed their major first customer in the U.S. And you can see there's significant contracted customer growth and revenue on the right-hand side of that chart with revenues growing by 77% in the year and the EBITDA margin of 43%, which is an average over the last 3 years. I will now turn to guidance, and we provide a summary here, and there are -- there is further information supporting this guidance in the slides in the appendix. And this guidance is provided on the basis that market conditions and the regulatory environment do not materially change. For Energy Markets' EBITDA, the FY '26 guidance is $1.4 billion to $1.7 billion. The LNG trading EBITDA is between $100 million and $150 million. The share of Octopus Energy EBITDA is between 0 and $150 million. And total CapEx, including any -- excluding any acquisitions, is between $800 million and $1.1 billion. For APLNG, this is consistent with what you would have received at the time of issuing our quarterly production of between 635 and 680 petajoules; production, CapEx, OpEx, all-in costs between $2.9 billion and $3.2 billion; and therefore, that converts to a unit range of CapEx and OpEx between $4.30 and $5 a gigajoule for the FY '26 year. So just finishing up, really just want to summarize the fact that we highlighted, I think the advantage of assets and capabilities that are well positioned for the transition. The strong cash flows and returns from 2 diversified businesses in energy markets and integrated gas to APLNG, and also that we've got global growth exposure and value upside via Kraken and Octopus Energy. Importantly, having a balance sheet that's strong enables us to not only increase -- funding increased dividends this year, but also is enabling us to continue to invest in the energy transition. So on that note, we will open up for questions, and the team will look forward to answering anything that you may have regarding this result.
Operator: [Operator Instructions] Your first question today comes from Tom Allen from UBS.
Tom Allen: Just on the guidance for Origin's share of Octopus Energy EBITDA. It's been a little bumpy in the last year or 2. So can you just please share a little bit more color on the drivers of the wide range for fiscal '26 and including the potential draw from the growth being pursued in the U.K. in the Energy Services division?
Anthony Lucas: Yes. Thanks, Tom. Tony, here. Yes, so there's been a few ups and downs, I think, this year with the weather, but also with the settlement of the energy price guarantee and a few accounting adjustments based on the non-U.K. entities and really sort of cleaning up those acquisitions and aligning them to Octopus' accounting standards. We just increased the range probably compared to where we had last year to take into account the increased investment in sort of non-U.K. retail and also the improvements that they're trying to make in the Energy Services business. With the non-U.K. retail, there really is the lever to turn that up and down based on how they're going in market, and that drives a lot of the spend into that growth. And in the non -- sorry, in the energy services, really looking this year to sort of optimize that field force, increase sales and also increase sort of unit margins. So just a bit more of a wider range to account for those variabilities.
Tom Allen: Okay. Just staying with Octopus, there's been plenty of press. You've commented on it in the past around the potential for a value realization opportunity relating to Origin's interest in Kraken. Could you comment on how Origin is minded to deploy any proceeds that it might receive if that were to occur? So is an ongoing exposure to a global energy retail opportunity something that the Board sees as attractive? Or is redeploying proceeds to Australian shareholders and/or funding growth in Australia are more preferred?
Frank G. Calabria: That's a fairly forward-looking question, Tom. I -- we're very focused at the moment on the separation of those businesses, and that leads to choices and opportunities, but I don't want to get too far ahead of us on that. In terms of assessing those call it, investments -- and I do think you should think about the energy and technology investments as different businesses -- we will make an assessment through time based on the best choices of allocating capital. We have choices available here as well. We'd be very pleased, obviously, with the growth in that investment, but we will make decisions and we'll be very clear to the market over time. Clearly, if they separate and Kraken does find its way to be a separate entity, which I really can't say more about at the moment given we're just focused on the separation itself, that will present choices to us, and we'll keep the market informed as we go forward, and that it just feels a little early at the moment to be thinking about how we might realize that through time. But you should see directionally, we're very supportive of the separation and therefore, puts these businesses on 2 separate parts.
Tom Allen: That's clear, Frank. If I can just sneak one last one just in the Energy Markets business. You've achieved electricity portfolio margin through the top end of that medium-term target range. Looking into the outlook, do you still expect that this margin will grow during the period you continue to operate Eraring and the additional battery earnings into the business? And what would be the key upside, downside risks that you'd see on a 3-year view?
Anthony Lucas: Yes. So I think I highlighted before that with Eraring continuing to run and as we bring the batteries in, we would be near or above sort of top end of that medium-term target. So we would expect next year to be the same. And then if I look forward, it's really -- it will be a function of sort of how Eraring runs, availability around Eraring if I thought about what are the risks to it. There will be batteries coming on, which will sort of counteract and perform a bit better. The retail book is going pretty well, and we're seeing competition -- we're performing well in market from competition. So I think it's really just the underlying sort of plant availability in the market that probably drives the largest variance.
Frank G. Calabria: Just adding to that, Tom, it's just always difficult to predict the level of volatility that will occur in the market and our availability to it. We're certainly setting our business up to make sure assets are available, the portfolio is there when it counts, but the inherent underlying volatility in the market, you can see was a little higher this year, and that's the one that's more difficult to predict on an ongoing basis.
Operator: Your next question comes from Dale Koenders from Barrenjoey.
Dale Johannes Koenders: Maybe just continuing on with Octopus, the comment around the right capital settings for divestment of Kraken. Just wondering sort of how you're thinking about further equity contributions net to Origin before a possible IPO?
Frank G. Calabria: Sorry, Dale. Just equity contributions, you're meaning by Origin to the group?
Dale Johannes Koenders: Yes. So there's been media speculation about an equity raising, and I'm not sure if Origin would -- if there is, if Origin would participate or not?
Frank G. Calabria: Yes, I think -- in terms of then setting it up, it's probably a bit early about that. Separating out does need to make sure that both those groups have capital that can enable them to go on their paths for growth. That's probably more a question for the Energy business as you think about acquiring customers across many markets. We continue to look at each of those on their merits. And so if we made any investment, you'd hear about that well in advance, but it does come down to where -- if they did an equity raise, what would that be and for what purpose? I know it's been reported in a particular context. But there's been no firm decision to do that at this particular point in time. So we'll just assess it on the merits. But that's how we think about it at the moment. It's probably a bit early to speculate whether we're doing further in that business or not. And should you be inferring it one way or the other at this point, to be clear.
Dale Johannes Koenders: Okay. And should you be inferring it one way or the other at this point, to be clear. And then maybe a question for Tony. questions around sort of the outlook for your leverage settings increasing to 2x to 3x over the next couple of years. Is there any sort of noncash items you need to call out or wanted to or maybe like cash tax payments, how that's playing out? And then the other part of that is probably like dividends, how you're thinking about the outlook for dividend settings given all those movements and given increasing capacity?
Anthony Lucas: Yes. So we highlighted, I think, last results that as we made the battery investments, we would start to -- our gearing would start to increase into that range. And so that's playing out as expected. We did defer the APLNG dividend into fin year '26, which changed that profile a bit, but it will generally be in that range. I think in terms of cash tax, we expect that to materially decrease into fin year '26, which we've called out before. But yes, I'm not seeing anything else outside of the fact that we'll have battery earnings come -- when net debt go up, battery earnings coming in. APLNG is obviously going to have a little bit higher CapEx in the medium term. Those are all the things that we'll sort of take into account when we think about that ratio.
Dale Johannes Koenders: So is there scope to increase dividends? Or is the policy of sort of where you've said $0.60 for FY '25 more of a sustainable level for now?
Anthony Lucas: Yes. Look, our goal is not to swing the dividend around, and look, to keep it pretty sort of constant with the potential perhaps to grow it in cents per share. You'll see we paid out 80% -- above 80% of sort of adjusted free cash flow this year. So the Board will make that decision on a sort of year-by-year, half-by-half basis.
Operator: Your next question comes from Nik Burns from Jarden Australia.
Nik Burns: Just a question again on the FY '26 Energy Markets EBITDA guidance range. Compositionally, you've called out relatively stable electricity growth profits year-on-year. You talked about the one-offs that assisted in FY '25, but then you've got the contribution from batteries coming through in the second half. You've also then directionally talk about potentially higher gas gross profits. And then further benefits and cost to serve coming down further. It feels like given you've exited FY '25 was at just above $1.4 billion. Is it right to think that your range could end up being fairly conservative?
Anthony Lucas: Well, I think it's, as Frank highlighted just before, the ability to predict the level of volatility in the market and the potential trading gains that we'll make as that plays out and plant availability, we came off a pretty good fin year '25 in that nature. But if you remember, fin year '24, we didn't quite have the plant availability. So I think you can think about us setting our range as being taking a view on that, it will be probably more of an aggressive view if you were forecasting fin year '25 to repeat. So we sort of set the range in that way. We do have -- if you have a look in the OFR, you'll see that our underlying dollars a megawatt hour unit cost on swaps is particularly low. It's in the low 40s, which represents that trading gain. And so as time -- as we roll through to '26, we expect that to increase a bit. So there's a few things that came out of '25, that mean that, that's probably sort of slightly elevated and we set the '26 range on that basis.
Nik Burns: That's great. Look, just a question around your FY '26 CapEx guidance, really, I think, highlights that you're over the main hump of battery investment. And just wondering how we should think about your growth plans from generation and firming capacity beyond the existing battery investment commitments? What are your drivers here as you consider your options in the shape of the supply and capacity portfolio post Eraring closure?
Anthony Lucas: Yes. So you see CapEx drops in -- we forecast CapEx to drop in '26. And when we look at committed CapEx into '27 drops further. As we bring those batteries on, we'll assess the performance of those. We'll look at the market requirements as regard to Eraring. We've always said we'll be engaging with the government and being cognizant of prices for customers as well as security supply. So we need to take all of that into account. We continue to assess greenfield options in both batteries and OCGT peaking plant, but we'll be quite clear if we decide to move further on those.
Nik Burns: So there's no near-term plans? Any FIDs upcoming in FY '26 for additional growth investment?
Anthony Lucas: We've got nothing committed at the -- we've got nothing planned at this stage, but it's not to say that we may not do small things around perhaps batteries. If there were modifications or extensions we could do to those if we thought they were particularly attractive investments, and we're seeing the returns in batteries. Obviously, we've got a prove that in fin year '26, but our forecast returns look quite good, so we find those quite attractive. And so we'll just take all of that into account and be clear when we're willing to make those commitments.
Frank G. Calabria: Yes. I'll give to that, Nik, is that we do advance a lot of initiatives behind the scenes. But when you say timing on confirmed FID timing, that's where we won't be more precise at this point in time because we advance them, we have to assess the market, there's a lot of policy work that's going on right at the moment. We'd like to understand that. But we certainly are advancing, for example, OCGT developments, both greenfield and brownfield across our fleet. So we'll continue to work on those, but I wouldn't have an FY '26 FID at this point in time as a firm timing, but we will be advancing on the basis that we would want to bring decisions, the right decisions at the right time and, therefore, doing a lead-in work that takes some time.
Operator: Your next question comes from Gordon Ramsay from RBC.
Gordon Alexander Ramsay: Great result. Slide 15, you captured some really good pricing in the June quarter. How did you do that? Was it a combination of Eraring gas-fired? Just kind of interested in terms of how you delivered good availability and capture of electricity pricing in June quarter?
Greg Jarvis: Yes. Gordon, it's Greg Jarvis here. Thanks for the question. There's a couple of things. One, just calling out the trading team, firstly. We construct a robust portfolio. So that's very important. But equally, in that quarter, the generation performance is very good. So there's one thing which we always concentrate on is availability at the right time. That means you just got to make sure you keep your maintenance up to these machines and just perform at the right time. So that's what played out. So it was just good portfolio performance right across that period.
Gordon Alexander Ramsay: Maybe this is a question for you, Frank. Just following on from Nik's question on the CapEx outlook. How much is your CapEx decision being affected by your view on Eraring? Clearly, you're going to have to consider whether or not a 2-year extension happens with respect to that plan. And is that affecting your CapEx expenditure over the next year or 2?
Frank G. Calabria: Well, certainly, the decision around Eraring. And as you know, we've got our notice for closure in pursuant to the agreement with the government by sort of August '27. But clearly, we continue to assess the market and the needs of the market. And so we will -- certainly, that feeds into our timing and decisions around it. But equally also, it does there's -- it's whether we build or contract and you've seen what we've done with batteries. And we felt that there was -- it was appropriate when you're making a bet on a technology all at once to do a combination of build and contracting in terms of the duration of those and the capital commitment. So those feed into it, and that would be an ongoing discussion that Greg and Tony and I and the teams would be focused on in terms of the contracting options versus build. But you're right, Eraring and its timing and any considerations, that would feed into that thinking. Our job really here is to navigate this transition effectively for customers and shareholders. And what we're really looking at is how do you continue to allocate capital wisely in a market that has uncertainty. And we have done that, I think, to date, and we would continue to make assessments around it, which is why, to Nik's question and yours, we are preparing for a variety of scenarios to be ready to execute on those, but the final decisions of both timing and choice will be determined by a range of factors that you've talked about. And we're looking forward to seeing that in the direction of the -- view to make sure we're confident about that as well. Nothing to suggest it's not at the moment. They're focusing on the right areas. There's just a bit of detail to be worked through, that's important. But we'll continue to make decisions based on that premise.
Greg Jarvis: And Gordon, one other addition is that we haven't missed on maintaining our units. So Eraring, we're even having an outage this September. So we're keeping the plant up to scratch, which is important in this market.
Gordon Alexander Ramsay: Lastly, if I may, just on the gas supply situation. We heard yesterday that another company is getting their margins squeezed and higher costs for gas supply, you're going to lose your fixed-price contracts in the next couple of years? Are you kind of seeing any pressure there at all? Or are you pretty happy with your position from APLNG and the benefits that you have in the domestic gas market.
Greg Jarvis: Yes. So Gordon, our gas portfolio remains well placed. So we have long-term contracts. There's a couple of moving parts this year. Some -- there's a couple of contracts roll off, both a sale and a purchase, but you should expect consistent earnings from the gas portfolio going forward.
Operator: Your next question comes from Amit Kanwatia from Jefferies.
Amit Kanwatia: If I can start with the strategy around Kraken and Octopus. And you said you're supportive of the separation. That gives you choices. Maybe if you can speak to how do you see is the best approach to unlock value for your shareholders from that separation, please?
Frank G. Calabria: Yes. So if you think about those 2 businesses' separation, they're becoming different businesses, pursuing global strategies. In particular, you're seeing now Kraken really going into multiple markets across not just the energy or the full utility chain, but also in water and broadband, and it's clearly set itself up with the leadership team. A lot of what you're seeing even this year is the building of a global growth capability. So it's going to set itself up. It's too early to talk about it. There's been a lot of speculation in the press and IPO. It's a bit early for us to talk about that because shareholders would need to decide upon that at the right time. What we are very focused on separation, but you could see that putting it into a situation which it provides a realizable event, I think, is important for Origin over time. But we are cognizant that we are a shareholder amongst many, and everyone is working and aligned around focusing on that separation now. In relation to the energy transition business, it's a business that Tony talked about earlier that it's actually very much cemented itself to be a profitable businesses in the U.K. and now has 2 growth vectors, both in the non-U.K. markets and energy services. That is really all about earlier talking about setting it up to go on that growth. Importantly, it's worth recognizing that they never pulled the heavy growth lever in those 2 other vectors until they had a very profitable U.K. retail business. And so we're just going through the strategy for that over time in a separated world. But really, the focus, I think you'll find is that if we get them separated, it sets up Kraken on a path, which enables -- it enables it to be valued separately, potentially leading to liquidity, but too early, and then we can choose what's the best way to realize value for our shareholders there.
Amit Kanwatia: Sure. Just staying on Kraken, and you commented on the EBITDA margin, which is an average '23-'25 at 43%. Maybe if you can speak to is there any margin kind of expectations into the future for that business?
Frank G. Calabria: Yes, there are margin expectations in the business. What you'll find when you do that average to be very transparent, you'll see that the current year's margin is lower, but we didn't think that was reflective because what's actually happening right now, this business has now got a CEO that has run global software business. They've just recruited a CFO. They've got a leadership team. They're now building out product that's really and geographic sales expansion. So it is really reflective of a heavier investment this year to build those capabilities. And as you can see, it's pulling through revenue growth that's coming through. And so I think it's a better read to look at those overall margins over the last several years. That would be a better read in our view. And I'm saying that without having a very precise giving you very precise, but it's a better guide than I think what you're looking at in the current based on the amount of revenue that's pulling through and live revenue that's going to emerge over time. So that's how I would focus on it. And clearly, you're looking at the growth and they've got to continue to sign customers in markets around the world, and that's where we focused the organization. We really wanted to run hard at that as a very significant opportunity that's a convergence of a few things. We've got disaggregated energy, technology, not only that, but we've also got cloud enablement and AI that are actually going to be increasingly important to our sector. So yes, I think it's best to read that 3-year average as a guide.
Amit Kanwatia: Sure. And maybe if I can move to the energy markets. And I mean if I think about your customer strategy, which is around Kraken migration, you've migrated your customers on Kraken. I mean, Octopus in the U.K. has been a great success story. I mean you've talked to a lower cost benefit coming through the next -- into '26. But maybe if you can speak to your strategy in terms of customer growth in this market and the lifetime customer value and basically what the benefits you get from better improved access to the VPPs?
Jon Briskin: Yes. It's Jon Briskin here. I -- in a lot of ways, I think -- the results speak a little bit for themselves there that we're seeing that growth come through now post the migration of Kraken. We certainly feel that we're in an advantageous position. We've got some great channels. We've obviously got the technology, the product propositions, and we're sort of lowering the costs. So you see that like pulling through in that churn differential to market, you see that pulling through in terms of the customer wins. We offer customers -- we like to think we offer them very fair and reasonable pricing. We're not always the price leader. We manage the value of our customer base. We think about multiproduct when we look at value. And you're right, the orchestration of different assets over time presents a real opportunity for us, the 1.5 gig on the VPPs is part of that. Frank mentioned, that's now starting to deliver value, but we certainly think that the sort of collection of capabilities, including access to more customers taking up batteries through our acquisition of solar quotes puts us in a really good position to look at this retail market and see that growth come through.
Operator: Your next question comes from Rob Koh from Morgan Stanley.
Robert Koh: Congratulations on the result. My first question is, I guess, in relation to battery returns, and you've given us an indication there of the kind of 8% to 11% return range. I take it that, that's for the projects you've already committed to. Is that a similar kind of return profile that you would be looking at a new battery project today? And then second part of that question, if you could provide any update on bottom-up how you derive those types of returns through, I guess, caps and arbitrage and ancillary services, please?
Anthony Lucas: Thanks. Good question. Rob, Tony here. Yes. So when we've looked at the projects in the past, we've given a range of 8% to 11%, and we probably said that in the front end, it's towards the upper end of that as we sort of expect the market to build our batteries over time. I think what would drive the rate being higher would be if you had lower CapEx coming from lower construction costs or lithium. I mean, we've seen from when we started building batteries to the most recent ones we've built, we've seen the prices decrease mainly in lithium. So yes. When we look at new projects, we've sort of put them in that range as well. There may be some brownfield benefits as well. In terms of the spread of income, we would sort of say it gets income from those 3 things, which is the, if you like, the cat value, which we would put somewhere between sort of 40% and 45% maybe as high as 50%, and then maybe there's 5% in FCAS and then the balance would be the energy arbitrage. I think that what you've got to look at when people are quoting those percentages, Rob, is the duration of their batteries. So if you've got a shorter duration batteries, you'll get more from the cap value than you would from the energy spread. So ours are quiet in terms of what other people are putting in, ours will have a bit more duration. So it will get a bit more revenue from the spread.
Robert Koh: Okay. That's really helpful. Also, I have seen a few transactions reported in the market. I think CLP reported a gain of $77 million by selling down battery developments under construction. I wonder if you guys would like to comment on your pipeline of developments of capital recycling is a possibility on that front?
Anthony Lucas: Yes. So I think we do assess this all the time, Rob. We're obviously with the Yanco Delta, that's our sort of plan A is to sell down at least a very large proportion of that. You've seen us do some battery tolling deals where we haven't been the developer. But we continue to assess whether when we think about capital allocation, we continue to assess what are the capital recycling opportunities and that is a potential opportunity that we could take up.
Robert Koh: Yes. Okay. Cool. Maybe just moving over to the gas side or the upstream side. One of the things that you've mentioned is that the Ironbark reserves are still trying to achieve EPBC approvals. I wonder if you could provide any kind of color or update on that? And maybe in particular, if you have any comment on what the ground order approval process is there? Is it going through OGI or ISC or if you're able to share that.
Andrew Thornton: Rob, Andrew Thornton here. So maybe just to recap where Ironbark is part of a broader set of approvals we've been progressing through EPBC for quite a while. So the first time that got submitted to EPBC was in 2020. And so as many people will be familiar with, that's quite a long process, which is subject to third-party interventions along the way. Most of those approvals -- so Ironbark is embedded in that approval. There are approvals outside of Ironbark that reflect our existing tenure. We're hopeful of an approval through EPBC this calendar year. So we need to continue to work that. And obviously, there's some regulatory reform going on in that area. So certainly, it's not for certain. After you go beyond that, we'd be looking at starting Phase 1 of Ironbark drilling. We've talked about -- we've seen -- disclosed in the reserves report, it's 300 PJs for 2P and quite a bit more than that for 3P. And it would be a 2- to 3-year process before you'd see gas coming through from Ironbark. I have to take the specific question on groundwater and which regulatory agency is taking that -- have to take that one away. I'm sorry.
Robert Koh: Yes. No, no worries at all. Final question, if you'll indulge me. I haven't had a chance to read fully through your CTEP document, but I just wanted to double check if your Scope 1, 2 and 3 targets include APLNG or not? And if there's a cumulative target in addition to the 2030 interim target.
Anthony Lucas: So the Scope 1, 2 and 3 do include APLNG. In terms of absolute target, we had -- is that what you're referring to, Rob?
Robert Koh: Yes. So you've got a nice 20 million tonnes reduction by 2030. And then is there also like a cumulative between now and then?
Anthony Lucas: All right. Okay. Yes, we did have a shorter-term target in our prior CTAP that was an absolute which I thought you were referring to. No, there's no cumulative that's a reduction in year-end 2030. 2019 baseline.
Operator: [Operator Instructions] Your next question comes from Ian Myles from Macquarie.
Ian Myles: Just a couple of questions. If we go back to Eraring, can you maybe give us a color on the time lines you need to make if you want to extend it because obviously, planning CapEx and maintenance cycles are long lead items, when you need to make that sort of decision.
Frank G. Calabria: Yes, okay. It's Frank. So we have always worked on the premise that having reliable and available assets has been absolutely the utmost importance in a market that's as dynamic as it is, and I think you've seen it play out in the last year. And so having them that way has meant that we've not compromised any decision to date on those units. Every year, we make a decision about the next unit. So think about 4 units and they're on a 4-year cycle. So we make a decision every year regarding that. So the next decision for the unit will be probably made first half of next calendar year for execution around this equivalent time. That will be our next decision point on the next large component of capital. And Greg, I think we spent about $100 million a year, but 3/4 of that would be around these -- would be a big outage now. Is that right?
Greg Jarvis: Yes. And we're proceeding with a major outage this year. So...
Frank G. Calabria: So we certainly...
Ian Myles: The decision is not until next year, you've got to make the call next year on -- what you might do, whether you let a unit die?
Greg Jarvis: That's right. That's correct, Ian.
Frank G. Calabria: That's right. And also the scope of that work to Ian, so it's not always digital. It can be what would you decide to scope based on the, call it, the life of what you would expect to then make the next investment. And so maybe what we could indicate to you next year is if we were reducing scope or doing anything like that, you could get an indication for us regarding that. That's probably the key. And the second thing is really that we do have to assess the market. We're very respectful also of the relationship with government, and we're also -- I think, have been a very responsible operator, and we'll continue to make the best decisions in the context of customers as well as our shareholders as well as government. So if you really thought about the next lead time on that, it's really around that next capital investment decision. And also, whatever we do, we need to think about our people, and we've done that I think, successfully to date, but we don't want to take that for granted, but we've got a bit of time, if that's what you were getting at.
Ian Myles: Okay. In terms of -- there was a bit of speculation, I think Gentrack came out and said they were getting a renewal from snowy. And there's speculation in the market around so looking at Kraken. I'm just interested what Origin's attitude towards the exclusivity they have and what they might be able to extract in terms of value from releasing that exclusivity.
Frank G. Calabria: Yes. I don't have anything to say today, Ian, on that, except that the exclusivity is valuable. And therefore, it would need to be recognized in the context of anything that was done to release it, and that's how you should think that we would treat that. But yes, nothing to say further than that at the moment. It's -- it's a good -- we think they're the leader in having that exclusivity is valuable. And we also think them growing globally is also very valuable for the Kraken stock. So we are very cognizant of both of those. And you would expect us to get value for exclusivity if we were to release it.
Ian Myles: Okay. And in terms of Octopus Energy, you talked about separation. You also imply that maybe Octopus has a capital shortage given regulatory requirements and the like. I'm just trying to understand the need and the quantum of capital that Opus Energy might need. And also the timing of it, is separation come first before a raise? Or does or a capital requirement? Or is it the other way around?
Frank G. Calabria: Yes. All good questions, Ian. And in fact, that's what the group is working through right now. And that's also then -- it's not just that, it's also the growth ambition that it sits with that. And so really, what's going through right now is what do we think those capital requirements will be. I know it's been speculated about a particular capital requirement because of -- in the U.K. market associated with being a retailer. That's not something they have today. It's something they have in several years, but they do need to think about all of their regulatory requirements and all of that capital base. So just to let you know that, that is actually what's being worked through right now because there's a range of solutions, and it's one that's really the subject of discussion by the shareholders and the Board right now. So that's why I can't really add more talk at the moment except you're on the right thing.
Ian Myles: Okay. And one final question. Do you think -- you talk about your $25 to $40 per megawatt hour, and you're outperforming that quite well, which is impressive. Just interested on the demand side and the actual selling electricity and where you see that growth coming through? And the rapid surge of batteries, does that actually become a negative for the retail side of the business? What type sort of growth rate you see actual megawatts sold?
Frank G. Calabria: I might get Jon to talk from a consumer point of view, if you're happy, and then James, maybe you can talk about from a business point of view. So we'll give you a sense for what's happening in the market. And then we can -- if that -- if we need further we can then add to that.
Jon Briskin: I mean the forecast we would have with the residential would be broadly flat, as you said, the offset of EVs coming in and energy efficiency in batteries decline that demand. I think the way -- so that sort of perhaps at a demand level, I think the way we sort of think about it is around the opportunity for the to use that demand through our VPP and use that flexibility at the right times to be able to generate both better returns for us, but also to deliver that value back to customers as well. And I think that's sort of where the key product propositions and focus is now going.
James Magill: Okay. So from a C&I enterprise point of view, there are some things driving demand like electrification and then energy efficiency across most sectors, broadly flat, but the biggest tailwind in C&I is data centers. And so there's varying forecast there. We obviously have a good market share of data centers and from our own customer forecast, some forecast up to annual growth are reasonable, and we're seeing some of that.
Ian Myles: Okay. And is the profitability out of a data center as good as out of a regular corporate customer? Or given their low profile it's pretty low profitability?
James Magill: Certainly, it's a flat low profile. I would say, with data centers and many other customers, there's many opportunities to work with them on a further energy services package. So behind the meter, some advisory services depending on the carbon composition they're looking for. So with the bigger, more complex loads, there's great opportunity to provide a wider set of services that would complement the electricity volume.
Anthony Lucas: Yes. And Tony here, probably the other thing at a macro level is we are starting to see electrification coming through in the market, so sort of a rotation out of domestic gas into electricity that's lifting usage and domestic customers. That's certainly on the electricity side. And then we'll have, obviously, EV growth coming through on that side as well. I think the key thing to highlight in the $40 a megawatt hour, which I think you're highlighting, is the incremental load on all learning $40 a megawatt hour that margins across the book, which includes return on assets that we invested in the past. But certainly, we're seeing a lot of opportunities across C&I and residential in terms of increased electricity consumption.
Operator: Your next question comes from Henry Meyer from Goldman Sachs.
Henry Meyer: Just to expand on the portfolio electricity margins, which remains strong. Could you share your latest thoughts on how those margins could change over the next few years when Eraring closes? And whether the earnings from your current battery pipeline and VPP benefits could offset the closure?
Anthony Lucas: Yes. Thanks, Henry. Good question. We originally put the $25 to $40 a megawatt hour in to highlight the fact that we thought we could stay in that range once Eraring retired. And then the investments that we made in trying to get to our 4 to 5 gigawatt renewable and storage target, we're going to get us into that range. I think the key thing is that Eraring is probably making a stronger contribution than we would have forecast 3 or 4 years ago as the prices are sort of holding up and really the renewable transition has slowed a bit. And so I think that gives us the opportunity really to bring those batteries into the portfolio. They'll make a pretty material contribution by the time you get through in fin year '26. We'll assess what other options are available to us contracting and also potentially other investments. Ultimately, I think coal will become as more renewables come in and the middle of the day starts to get more and more hollowed out then you start to see coal earnings start to fall regardless of whether you retire them or not. So we're pretty confident we can hold in the middle of that range with the opportunities that are in front of us. I'm not -- when I say middle of the range, I'm saying within the range, I'm not pinpointing a range.
Henry Meyer: Okay. That's clear. And on gas markets, there's a little uncertainty on the best way to resolve the risk of peak gas shortfalls on the horizon through frequency pipeline and storage capacity improvements, LNG imports, which will be tied to the closure of Eraring as well. In that context, could you share perspectives on how you think that risk of shortfall would be best resolved? How Origin might be able to play a part? And again, I think we touched on it earlier, but how that's factoring into the likelihood and requirements of extending Eraring beyond FY '27?
Greg Jarvis: Yes. That's a very good question, Henry. Look, firstly, in the gas market, we are talking to all the counterparties about all those options of bringing more gas into -- especially in the southern markets. Really, the requirement with sort of decreasing Gippsland production is certainly winter peaking gas. So the markets sort of managed that pretty well, certainly this year. And -- but looking forward, we certainly think that an LNG import terminal would certainly assist this market. But in saying that, we are also seeing producers sort of they're looking to develop some of their reserves, and that's coming on stream as well. So we do think it's being pushed out a little bit, and that's certainly what our EMO is saying as well. But longer term, we still think an import an LNG import option is certainly something we're interested in going forward.
Anthony Lucas: And probably the other thing to add, Henry, on the Eraring sort of theme on that question is, there's no doubt Eraring coming out forces gas fired peaking to run harder and that has a flow-on impact into MDQ and gas and. So that's one of the other considerations, I think if the government is -- and the market is looking at security across both fuels that will need to assess the impacts of both electricity and gas.
Operator: There are no further questions at this time. I'll now hand back to Mr. Calabria for any closing remarks.
Frank G. Calabria: Okay. Thanks very much for joining the call this morning, and thank you all for those questions. We look forward to meeting with many of our shareholders over the next several days, and you get an opportunity to meet with a number of the team as we get around to see you. So thanks very much, everyone.